Operator: Good day ladies and gentlemen, and welcome to the Service Corporation International First Quarter 2021 Earnings Conference Call.  Please note, this event is being recorded. I would now like to turn the conference over to the SCI Management. Please go ahead.
Debbie Young: Thank you, good morning. This is Debbie Young, Director of Investor Relations for SCI. Welcome to our company’s review of business results for the first quarter of 2021. Before we jump into the prepared remarks from Tom and Eric, let me remind you that we will be making some forward-looking statements today. Any comments made by our management team that state our plans, beliefs, expectations or projections for the future are forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated in such statements. These risks and uncertainties include, but are not limited to those factors identified in our earnings release and in our filings with the SEC that are available on our website.
Tom Ryan: Thanks, Debbie. Hello, everyone, and thank you for joining us on the call today. We hope you and your families are staying safe and healthy. It's hard to believe it, but it's been a little over a year since the onset of the pandemic and we are thankful that our associates in our communities are beginning to experience some relief from the overwhelming effects of COVID-19. Before I begin, I want to once again express my heartfelt thanks and appreciation to my SCI family. It is your courage and commitment that positioned us for the results we posted this quarter. You have continued to stay relentlessly focused on what we do best, helping our client families getting closure in healing to the process of reading, remembrance and celebration. I want to assure you that your health, safety and well-being continues to be a top priority for us. Now in the quarter, this morning I'm going to begin my remarks with a high level overview of the quarter, followed by a more detailed analysis of our funeral and cemetery results and finally customer guidance and outlook for this year. For the first quarter, we generated adjusted earnings per share of a $1.32, compared to $0.43 in the prior year for an extraordinary increase of more than 200%. This strong earnings per share growth was driven by two factors, significant funeral volume increases, which we anticipated based upon December volume increases of 31%, and a substantial increase in cemetery property sales particularly preneed cemetery property sales, which exceeded our expectations and significantly enhanced our earnings per share results for the first quarter of 2021. At a high level, both the funeral and cemetery segments in the quarter had margin improvement of over 1,000 basis driven by double-digit topline percentage growth coupled with a more efficient cost structure. We also benefited from a lower share count and lower interest expense which was more than offset by a higher adjusted tax rate. Let's take a look at the funeral results for the quarter. Total comparable funeral revenues grew $109 million or almost 22% over the same period last year. These favorable results were driven by our core funeral businesses, as well as SCI Direct. Core funeral revenues grew $95 million due to a 22% increase in the number of core funeral services performed and a 0.5% improvement in the core funeral sales acquisition.
Eric Tanzberger: Thanks, Tom, and good morning everybody. We are so proud of our 24,000 of our colleagues that have managed through the challenges of the past year and a half. I'm particularly thankful for how our frontline field associates have been there compassionately helping families in their greatest time of need and stepping up to support our communities through these very challenging times. Looking forward, I remain hopeful as it appears we finally might be emerging from the worst of this pandemic and soon to be able to return to a more normal future. So with that most important thing said this morning, I would now like to shift to the business at hand and begin to walk you through our cash flow results and capital deployment for the quarter and then briefly touch upon our revised full year cash flow guidance financial position update and capital deployment future plans. So, we generated operating cash flow of nearly $300 million during the quarter representing an impressive increase of $118 million or 65% over the prior year. Strong preneed cemetery sales increased number of funeral services performed as well as increase atneed cemetery interment volume led to the robust growth in operating earnings, which translated to strong operating cash flow results.
Operator:  Our first question is from A.J. Rice of Credit Suisse. Please go ahead.
A.J. Rice: I appreciate the comments that Tom made about his updated thoughts on that - the longer-term outlook '22 and '23. I'd be curious if there is any way that you could flesh out maybe some of the underpinnings in your assumptions that gives you the confidence that those numbers are achievable even as we look that far out?
Eric Tanzberger: Sure. A.J. Thanks a lot for that question. It is awfully difficult I think right now to try to decipher what a normalized earnings per share might be in 2023 considering all these dramatic swings in earnings of late, and it could be in the future from the impact of COVID. So let me try to explain why I'm so excited about the future outlook for our company. For years, you've heard us talk about our long-term earnings per share growth framework of 8% to 12%. I think if you go back and use 2019 as a base in order to make some assumptions around growth, this has the effect of removing the noise around COVID, and for me, it provides a lot of clarity about where we could be as a company a few years, which I believe could potentially be above our 8% to 12% range. On the funeral side A.J. based upon our best projection, the impact of the pull forward will likely have us performing about say the same number of funeral services in 2023 as we did in 2019. Now those are assumptions, but it's our best guess at this time. So assuming reasonable growth from SCI Direct in minimal inflationary funeral prices coupled with managing our expenses well, we would expect the contribution from the funeral segment to be relatively flat as in the funeral volumes are flat to '19. So remember true earnings growth from funeral require increased funeral services, so think baby boomers. However, keep in mind a very significant learning from the COVID experience was there when we get volume in the related revenue, 70% to 80% will drop to the bottom line. This in and of itself is exciting, but for this hypothetical I'm assuming that the baby boomers haven't arrived yet 2023 and they won't. And then shifting to cemetery, like we said for a long time, our opportunity to drive meaningful near-term earnings per share is tied to our excess success in generating preneed cemetery sales. So if you started 2019 phase and assuming we can grow preneed cemetery at 5.5% to 6.5% compounded over a four year period like we have in the past. The cemetery segment could likely add $0.75 to let's say $0.85 per share to our 2019 earnings per share base of $1.19. Then if you take the impact of our strategic capital deployment over this four year period between the opportunistic share repurchases and acquisitions, we had another call it $0.35 to $0.45 through our 2019 base. This would result in a 2023 earnings per share approaching, call it $3 to $3.25 in the quarter. And again this would absorb the full quarter effect and reflects no impact from potential market share gains or baby boomer volume expansion. So that's my simple in the way to think about it and hopefully that's helpful in clarifying why I'm so excited about the future of this great company.
A.J. Rice: Yes, that's very helpful. Thanks a lot. Maybe one other follow-up, I know Eric ran through the capital deployment priorities and what you've done in the current quarter. I guess in part of your long-term opportunities are these two areas. So share repurchase, I think the target for the year was $150 million. You already did 106 in the first quarter, . And then I think on the acquisitions, there is only a little bit of a tuck-in, and you've still got a goal of 50 to 100 for the year. Can you just update us, has the targets changed, are you still confident on those, is there upside to the share repurchase aspect and maybe are you comped it on the 50 to 100 on the acquisition front?
Tom Ryan: Yes, let's take acquisitions first. I mean we are confident with that A.J. and I kind of alluded to that in my remarks, because there's not much there during the quarter, as it relates to deployment on the cash flow statement as you correctly just mentioned. But we really believe it's more of a timing issue. We are excited about the pipeline. There is definitely deals that are out there that we and our teams are looking at and we're somewhat excited about it frankly. And so yes, we believe $50 million to $100 million is good for right now, which means that that activities should pick up from a capital deployment perspective as we go through the remainder of 2021. You're also correct on the share repurchases, I think that was a great opportunity and produce in a nice frankly low double-digit type return, for us at the levels that we saw earlier, and in '21, we did spend just over $100 million. What does the future look like? I think you should continue to see in us, continue to put capital in that section, in that area with absent any type of other relative return opportunity to higher return. I mean, frankly, we're going to deploy capital to the highest relative return opportunity, and as M&A for example is much bigger orders even larger new build deployment opportunities for example hypothetically that type of return is probably going to exceed your share repurchase program. So from that perspective, if you're following me, we're going to deploy capital, we're going to have good double-digit type even low-to-mid teen type returns with a menu that we have, but in terms of the exact mix, it's very hard for me to tell you specifically, but I agree with you definitely out of the gate, we've strongly deployed towards the share repurchase program in the first quarter.
Operator: The next question is from Joanna Gajuk of BoA. Please go ahead.
Joanna Gajuk: Thank you. Good morning, thanks for taking the question, and thanks Tom for sharing your views around the forward-looking curve outlook or at least the base scenario there for earnings. But to your point, you don't assume market share gains, but clearly, the company that this gain market share based on this growth rate that we've seen. So can you kind of flesh it out to us a little bit, I know it's very precise, but sort of any color or any numbers even in terms of how you think about the market share you gain last year into this year in both segments.
Tom Ryan: Joanna, I'll try to do that. As you think about market share and really trying to tie back to CDC accurate data, it's really difficult to do it in real time. So we have to do it based upon our ability to get information in certain markets and I have a couple of observations to make you feel better about that. And again, my example is just saying I think we can achieve those goals even without market share and I'm with you. I think we've gained a little bit particularly in the markets where we had scaled. So where you saw big cities that were impacted dramatically by COVID we experienced for sure surges in market share and touching customers and helping them at very, very challenging times. When you think about the New York's and LA’s and places like that. The other thing that's interesting we track as you know funeral volume by atneed and then preneed turning atneed. So as you think about those two buckets, the thing we've been experiencing over the last couple of quarters and more acutely in the first quarter this year. I think our atneed walk-in and forgive me I'm speaking from memory was up 24% and our preneed backlog change was 16%. So there was a noticeable difference of more customers coming in that above and beyond what we're seeing in our backlog. That normally tells me that you're out there performing for customers that probably would not have come to you when you think about the radius that we draw from. So I feel really good. I think we definitely believe in certain markets, we gained share. I can say that across the nation. We surely have created a lot more visibility and I think based upon our Google star reviews and the likes. Yes, I think - we have an opinion that we were very favorable impression in the communities where we operate.
Joanna Gajuk: Okay, I appreciate that color. And I guess there was different topic on pricing. I think I missed that part - I was facing technical difficulties. I think you were talking about the outlook for the year for the funeral average that you expect to return to 2019 pricing levels. I think so can you talk about what you experienced historically March was strong this is the comps and you said that - a pricing the absolute number was back to the pre-pandemic level? So I guess, is that correct. And can you talk about kind of how pricing is trending in markets if there are more open versus still where maybe there is more restrictions or fewer vaccinations and what not and specifically, I guess the impact on Canada and maybe if you can frame it ex-Canada how pricing upgrade out this quarter?
Tom Ryan: Sure, so first of all you're correct. The average we saw in March was effectively the same as January of 2020 so pre-COVID U.S., Canada. So we're very pleased that we've been able to get back to that number. So as you think about the comps in the back half of the year, we would expect the average year-over-year from here on now to grow in the low to almost approaching mid single-digit percentages on a comparable basis, but look a lot like 2019. And I think as we go forward, we feel very good about our ability to pass through inflationary pricing and expand menu products and services as it relates to that. On specific markets, you're right, there is a big difference in temporarily timing of whether a market is open or not. Because I think again, people are - we surely are complying with local laws and regulations, suggestions. So if you can have a big gathering that will have an impact. We've seen that I'd say more profoundly in the Canadian markets. For a while we saw it in California, if it’s clearly California it's opening up New York, its opening up. So we have a lot of good momentum with these markets opening up. I do think Canada is experiencing a little more difficulty and so we'll get there and we're confident that we are. So feel really good about the average, as we think about 2022 and 2023 if we learn something from this crisis is that people value what we provide. And you can see the cremation average only move 20 basis points, which is again shocking when you think about your immediate reaction to what will people choose to do through this COVID crisis. I think again they want to celebrate, they want to remember, they want to get to do the grieving process. So I think good news on the average.
Joanna Gajuk: Right, no and actually that was my other follow-up on the cremation rate the shift was pretty much non-existent this quarter, but I know it's hard to say whether this is here to stay. But I guess, do you have any views there in terms of what you expect for the year in terms of the cremation percentages and I guess what is the commission percentage in your revenue backlog that you create has that changed?
Tom Ryan: The cremation percentage and the revenue backlog is pretty consistent. What we have seen, it's a little bit different is the burial consumer has basically come back almost completely as it relates to their percentage in choosing service and the percentage in choosing service and cremation while cremation hasn't moved that much. We still see a little bit of a hold back as it relates to the percentage of people to differ. So we're seeing that in the preneed backlog too. I think you kind of coincides with the atneed that as I am sitting there thinking about it at this moment. It's hard to envision a big service because COVID happening. So we definitely saw that, I would expect as markets open up that that begins to move back to traditional changes. And again, I think on the atneed funeral side, I'm sorry cremation mix side, clearly 20 basis points is probably smaller than what we anticipated. So, we would expect that some gradually move back towards that under 150 at some point. I do think again you're using comparable numbers probably the biggest cremation mix change happened in late March, early April when a lot of markets around the U.S. were shutdown. So I think April should see a pretty favorable maybe even a positive change in that cremation mix, but then I think you begin to normalize what more as you get to the back half of the year.
Operator: Thank you very much  The next question is from John Ransom of Raymond James. Please go ahead.
John Ransom: The question I have is as we move through this year. And I know its short-term, how do we think about the correlation of tough funeral comps to preneed cemetery sales. It seems like there is a relationship that was a good guy. Is there a bad guy, you're expecting? And then secondly, going back to Joanna’s question, it looks like the correlation of your numbers with CDC was pretty good until this quarter. And I know it’s hard for you to say in real time, but do you think that CDC number showing high single-digit declines and debts in the first quarter was just a offer did you really I think took that much share? Thanks.
Eric Tanzberger: From your second question John, this is Eric, I'll answer it for you. I'm not sure those numbers have been updated completely would be my first comment. And my second comment would be, you have to also take into account that we had some sort - some ability of a lag. We were so busy when you take the West Coast for example and you take Southern California you take zoning, you take Nevada as well. We ultimately had to employ ability for storage for dissidents and such and our families, our client families were to a large degree very patient because there was a backlog of us able to perform those funerals especially in places like California where you could even add funeral service indoors. So that's where we talked about before about deploying tents and such to do that. But remember, you not recognized the revenue and so you performed the services and deliver the product. So from that perspective, you had deaths that occurred in CDC in back half in November and December, which was very robust. Which actually was revenue recognized in January in the first part of February, for example. So I think you have to take into account both those factors, but I do agree with you, when we went and looked at the underlying data, it was hard for us to frankly recognize that underlying data John, to be frank about it.
Tom Ryan: Yes, your first question was around preneed cemetery growth. First let me say that I think atneed cemetery correlates very closely with funeral volumes, because again they are relying upon the same customer. What we would see in the preneed side is a bit of a lag what we would expect, and the reason for that is while some preneed maybe companion sales, some of them may take a month or two months, it's a lead that we're going to follow-up on, so we would expect even as the case volume comes down that you still have a number of good leads that you can work as you think about preneed cemetery. When you really try to peel this back and I think this is a helpful way to look at, again, positive as I could back to, I used in 2019 is a base just to think about, what would I expect in normal circumstances. So if you take this quarter, we grew preneed cemetery sales $130 million or 67%. If you go back to '19 in production levels and say let's grow at 7% a year for two years, that would tell you that of your $130 million growth, about $55 million of that is what you would have expected and that $75 million would be COVID or COVID related, and what I mean COVID or COVID related, I think some of it may be directly related to a death in COVID, and therefore we can generate sales that probably is going to have a two-month lag of volume, but then there is a component of COVID, that I'll call is the awareness of the consumer and the awareness of the consumer is really strong and that's the piece I don't think we can sell, right. I don't know, because COVID so fresh in our minds and - I would expect that have a longer tail that people are going to be aware of taking care of their affairs, managing this part of it. So that's the piece that I think it's a little more difficult. But for me easily 55 of this 130 in my opinion we gotten with or without COVID, and it's the other piece that we got to - we're still figuring out, but I think we feel confident about our ability to execute.
Operator: Thank you very much. So we have no further questions. So, now I hand back to management for closing comments.
Tom Ryan: Okay, thank you everyone for being on the call with us today. Stay safe. We look forward to talking to you again in about three-month. Take care.
Operator: Thank you very much, sir. Ladies and gentlemen that concludes today's conference. Thank you for attending today's presentation and you may now disconnect.